Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Fourth Quarter and Full Year of 2020 Momo Incorporated Earnings Conference Call. [Operator Instructions] And please note that this conference is being recorded today. I would now like to hand the conference over to your first speaker today, Ms. Cathey Peng. Thank you. Please go ahead, ma'am.
Cathey Peng: Thank you, operator. Hello, everyone, and thank you for joining us today for Momo's fourth quarter and fiscal 2020 earnings conference call. The company's results were released earlier today and are available on the company's IR Web site. On the call today from Momo are Mr. Wang Li, CEO of the company. Mr. Wang Yu, Founder and CEO of Tantan; and Mr. Jonathan Zhang, CFO of the company. They will discuss the company's business operations and highlights, as well as the financials and guidance. We will all be available to answer your questions during -- they will all be available to answer your questions during the Q&A session that follows. Before we begin, I would like to remind you that this call may contain forward-looking statements made under the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Such statements are based on management's current expectations and current market and operating conditions and relate to events that involve known or unknown risks, uncertainties and other factors, all of which are difficult to predict and many of which are beyond the company's control, which may cause the company's actual results, performance or achievements to differ materially from those in the forward-looking statements. Further information regarding these and other risks, uncertainties and factors is included in the company's filings with the US Securities and Exchange Commission. The company does not undertake any obligation to update any forward-looking statements as a result of new information, future events or otherwise, except as required under law. I will now pass the call over to Mr. Wang. I will translate for him. Mr. Wang, please.
Wang Li: Good morning and good evening, everyone. Thank you for joining our conference call today. 2020 was a tough year for all of us. I’m proud that my teams were able to navigate through the many challenges with relentless focus on our core mission which is to help users discover new relationships and built meaningful interactions. The commitment to that core mission also enabled us to make difficult, the right decisions in the past year for the long-term well-being of the company and our community. Getting through that bumpy journey was also a valuable growth experience for my team. I’m happy to see that we have finally come out of those temporary drawbacks, stronger and better poised to seize the growth opportunities ahead of us. My speech today consists of two sections. In the first part I'm going to review the key operating and business results for the fourth quarter and fiscal 2020. And then I'm going to run through our strategic priorities for the year 2021. And perhaps more importantly, how these near-term strategic priorities fit into our ambitions over the longer term horizon. First of all, a brief overview of the financial performance. For the fourth quarter 2020, total Revenue was RMB3.80 billion, down 19% year-over-year, but up from RMB3.77 billion last quarter. Q4 revenue came in better than our original expectation mainly because of the outperformance from Momo's almost live streaming business in the year end competition event. Adjusted net income for the quarter was RMB836 million, representing a 22% profit margin. Excluding Tantan's net loss, adjusted net income for the core Momo was RMB845 million or a 28% profit margin. Tantan's total revenue came in RMB341 million for the fourth quarter, up 100% year-over-year. Adjusted net loss of Tantan further narrowed down to 3.3 -- RMB8.84 million as a result of strong top line growth as well as temporary scale back of marketing investment in the fourth quarter. For fiscal 2020, total revenues for the whole group were RMB15.0 billion compared to RMB17.0 billion last year. Adjusted net income was RMB2.9 billion compared to RMB4.49 billion last year. The year-over-year decrease at top line and bottom line level were mainly caused by the COVID impacts during the first half and the structural reform in the second half of the year. Now a deeper dive into other aspects of the year. First, on key operating metrics. Momo core ended the year with 113.8 million MAUs, slightly better than last quarter, but still below the peak level in the year 2019 primarily due to the -- due to us optimistically lowering marketing spend in November and December for ROI considerations. As we expected on last earnings call, the acquisition cost per user was either -- was at a hyper level of due to heavy spending from the education eCommerce and to some extent gaming companies. We therefore would rather defer part of our marketing spend to after Chinese New Year when the marketing costs came down. Paying user accounts which has pretty -- has been pretty much in correlation for MAUs in the 9.0 million for the core Momo, flattish over last quarter. The post Chinese New Year user recovery on the core has been pretty encouraging, which can be attributed to our successful campaigns during and after Chinese New Year as well as the team's efforts to improve the basic social experience, which I'd like to elaborate a little bit later. Tantan's paying user account came in at 3.8 million end of 2020, down from 4.1 million from the previous quarter. The net decrease was attributable to the following two factors. Number one, the continuous rollout of the SVIP premium package, which had a positive impact on ARPPU [ph], a negative impact on the number of paying users due to its price lifting effect. The second factor pertains to the pressure on MAU as we substantially lowered Tantan's investment in the paid marketing channels due to the same ROI considerations as mentioned in the earlier part of my remarks. The user acquisition costs came down during the Chinese New Year holiday. So we stepped up our marketing efforts then to capture the window opportunities. At the same time, we believe that the biggest priority for Tantan this year is to reshape its user acquisition system and more broadly, its marketing approaches, so that we can see substantial improvement in its marketing efficiency. This is an area where Momo team has extensive expertise and experience to learn. Momo undertook the same reform in 2017 and have since made significant improvements in user acquisition and subsequent conversions. We're going to implement the same playbook on the marketing front at Tantan this year. Our marketing team has already started some initial work since the beginning of the year. These early works confirmed our belief that Tantan still has significant headroom to grow its user base by optimizing its marketing and conversion approaches. Our February campaign shows that even the initial change in the marketing approach could make a difference. For example, the initial adjustment to the marketing materials and the data management system brought in a substantial increase in a female percentage in the new users. At the same time, we were also able to see some initial improvement in managing the unit acquisition cost as well as the user retention ratio. Of course, we still have a lot of hard work ahead of us and making this one of my biggest priorities for the year. Now let me switch gear a little bit to review the key things that we did last year to better serve our users and communities. I'm going to break this part down by the core Tantan and then the newer buckets within our product portfolio. First of all, on the core Momo side, the biggest focus of the team last year was to improve the basic social infrastructures and user experience on the platform, including the nearby people, nearby posts, optimizing our onboarding experience, and making initial upgrades to the user resurrection model. As a result of these products and operational efforts, in Q4 2020, we were able to see meaningful improvement in some of the most important metrics reflecting the social efficiency on Momo. Among them, the number of impression of the user profile page, the number of two way conversations as well as the number of interactions around nearby content has reached their peak since the beginning of the 20 -- of 2018. At the same time, the 30 days retention ratio for resurrected users improved 3 percentage points versus the beginning of the year. The 30 days retention ratio for complete new registrations reach this peak level since the beginning of 2019. These improvements in engagement metrics show that even amid tremendous external challenges of the year, the fundamentals of core Momo as a social platform to build new relationships are strengthening. That constitutes a solid foundation for Momo to pursue further growth opportunities in the year 2021. Now turning to Tantan, I'll be brief here and leave the details to Wang Yu later in his speech. If I were to name only one most impressive progress Tantan made in the year 2020, it would have to be that we've taken a few concrete steps toward enriching the peripheral social experience around the core swipe and match system. We will further accelerate Tantan's product efforts this year, aiming at taking the core dating experience to the next level and making a better fit into the Asian dating culture. In addition to the Momo core and Tantan, in the year 2020, we have made solid progresses with endeavors to build new applications. For example, Hertz, a voice-based dating application primarily serving the Gen Z in lower tier cities; [indiscernible], a video and voice based matchmaking application serving users seeking more serious relationships have all hit their respective retention and ROI targets for the first date. This year, we're moving these two applications into the second phase, where we are going to demand the growth of users as well as the fulfillment of ROI too, which means having enough revenue generation power, recover the revenue share and the marketing costs. This is an important milestone metric in our new project management system because once the new application reaches that stage, it is rolling into a self sustaining cycle and have the ability to contribute to the bottom line. Other than these ROI focused new applications, we were -- we are also working on a couple of projects that aim at establishing new touch points in the social as well as the [indiscernible] and payment industry [technical difficulty] as compared with the year 2019 now have a much more mature system that effectively evaluates and manages different types of new projects at different stages. Now turning to a quick review across our key business lines. I'm going to focus on the core Momo and leave Tantan's part to Wang Yu. Firstly, live broadcasting. 2020 was a challenging year for the live streaming team at the core. During the first half, the business, especially the top spending was struck hard by the COVID impact. In August, we undertook a structural reform to the live stream business in order to revive the long tail content ecosystem and to make sure this cash cow business continues to grow healthy in the new external environment. The waveform touched in many different areas on a product and operational side. Although the initial product adjustment in August caused significant negative impact on revenues, it was a critical step in eradicating the undesirable practices that were harmful for the long-term health [indiscernible] of the business. After several months of hard work, we have started seeing positive signs for improvement in the content ecosystem. Revenues have also shown stabilization and a gradual improvement from the bottom seen in August. It's also worth mentioning that by the end of last year with a new incentive plan, we have successfully achieved our goal in the golden broadcasters contract renewal project, securing the big majority of the high grossing performers by multiple years exclusive contracts. It will provide a solid base for us to drive continuous improvement in the live stream business at the core. The new incentive plan also gave a morale boost to the new performers and agencies. The outperformance of the year-end competition was a good example of that. We had quite a few new agencies and performers emerging from the competition as hardworking and dedicated value adding partners for Momo platform. Moreover, we were able to manage cost structure well enough to fully absorb the impact of the increase in the payout at a gross margin level, which remained flattish versus Q3. This was a much better outcome than we originally expected, demonstrating our focus and ability to grow the business at a gross profit and cash flow level rather than purely at the revenue level. Our plan in 2021 is to continuously support newcomers by diverting more traffic toward the mid to long tail. We also have plans to enrich the content verticals and to promote content that emphasize on emotional companionship in particular, in order to further cultivate the social attributes of the Momo platform. Now turning to back on the core. I’m quite satisfied with the team's execution on the VAS front during past -- during the past year. In a tough external environment, we've managed to not only deliver robust growth, but also successfully control the pace of growth to make sure it plays a positive role in the overall social ecosystem. Last year the growth of VAS was primarily driven by innovative product and operational ideas. For example, we continue to introduce new moderated shows into the chat room experience. In addition, we also brought in interactive gifts into the audio and video social entertainment experiences. This has proven to be a sustainable lever that we can pull to drive revenue and engagements in the chat rooms. In the second half of the year, we revamped the Werewolf experience and introduced a bunch of new gifting experiences into the interest group, both of which subsequently showed impressive growth. This prove that even for very mature use cases as long as we continue to innovate on consumer and paying experiences, there is always going to be opportunity for us to drive further growth in VAS. I'm also pleased that the VAS team focused not only on the quarterly revenues, but also on building future drivers for the long-term. Throughout 2020, Hertz and [indiscernible] continue to show gradual improvement both in terms of retention and user scale. We now have established a clear roadmap and a standard playbook for monetizing these experiences. As said in early part of my speech, 2021 will still be a year focused on product. But we do expect Hertz and [indiscernible] to contribute more meaningfully to the VAS line relative to last year. We also believe that they have the potential to become a longer term driver to both the top line and the bottom line. Those are the business updates. Now moving to the most important part of my speech today, our strategic priorities for the year 2021, and how these midterm priorities fit into our ambitions over the long-term horizon. Again, I’m breaking this section down by the core, Tantan and the new endeavors. For the core, I have two goals for the team. Number one, further grow the core user base with limited marketing budget and improved ROI versus last year. Our action plan to this goal consists of three key tasks. A, build new social experiences within the core to better serve underserved user demand. For example, we are clearly seeing the social desire from female users on Momo for the product and services we currently have on the core clearly work much better for men rather than women. This is an area where we should and can do much better than before. B, penetrate deeper into lower tier markets with Momo Lite. This was a key product project for last year. We actually made some good progresses on the product side in the second half of 2020, but the marketing plans got stuck due to the measures in different regions to keep the virus under control. As COVID risk continues to tail out this year, we still have good opportunities to push the plans forward and see substantially refining our user resurrection model; complete new registrations are increasingly becoming a scarce and expensive resource for every social media operator. That makes it crucially important to cultivate the value with the existing users as well as the users in dormancy. This is an area where Momo has lots of edge because we have a large pool of dormant users and can leverage new social experiences to call them back. The focus this year is to improve our current resurrection model, so that we can do much more effective targeting and conversion and drive better ROI from the reactivation. The second goal for the core of course is to get the business on to the growth track. We need the cash cow to remain productive not just at the revenue level, but at the gross profit level as well. As compared to the user goal, this one is easier to fulfill because from the trends we've seen -- we’ve been seeing so far into March, it seems that we have already completed the most arduous part of the journey and get the live streaming business on track for recovery. VAS having been growing robustly for the past 2 years, still has plenty of growth opportunities both in terms of traffic and in terms of new revenue features. As a social platform, 70% plus of our DAU and 80% plus of total time spend are not related to live streaming at all. Having VAS as a main revenue source will eventually prove to the investor community our potential and advantage as a social networking product as opposed to a live streaming product. That's an important role I’ve set for the team for 2021 and beyond. Now moving on to Tantan. Our goal for the year is to deliver solid user growth by substantially improving the marketing efficiency, and the core dating experience. As I said on the previous call, Tantan has huge room to grow its user base and engagement due to the secular trends that we're seeing in China. And currently, we can say with full confidence that in China, Tantan is clearly the most committed as well as the most effective dating product focused on connecting people for romantic purpose, and offline relationship conversions. This is a fundamental demand proven throughout human history. I see no reason why Tantan cannot be as large as Momo today in terms of user scale. As a matter of fact, it should be much bigger than that as we see how today's young people evolve as it relates to dating culture. Now the question really is why we are not growing as fast as we should be? The answer is not because the opportunities are not there, or somebody else is stronger than we are in serving that demand, but because there are important areas where we need to improve. We should make our product and marketing efforts more effective and execution more efficient, so that we hit the nail right on its head to pin down the growth opportunities that we're seeing. The two teams will need to work more closely together in order to push forward faster. This year you would see the collaboration between Momo and Tantan moving to a deeper level. Now turning to the plans beyond Momo and Tantan. This, of course, involves the new applications that we're working on, about which I've already talked a lot in the previous sections. But there is something more to it. Many of you would agree with me that the coming 10 years we'll see continuous boom of China's private consumption and it will be gearing up from a goods driven mode toward a service and new consumption driven model. The coming decade we'll also see phenomenal changes and advancements in communication technology and hardware devices. Moreover, with the rising personal income at an education level, the world's highest level of digitalization and increasing focus on individuality, today's younger generations are becoming increasingly open toward the idea of online dating and broader social products and services providing emotional companionship. It's quite possible that we will see the cultural reflection -- inflection point in the dating and on social space within the coming decade. As a company that focuses on helping people build new relationships, we stand at a cross section of all those trends. That's why I'm extremely excited about the growth opportunities that we have ahead of us. In order to capture these opportunities, we need to: a, drill down deeper in our strong areas, namely the open social space; and b, push the boundaries and expand the footprint in other adjacent areas along the value chain. And last but not least, stick to our long-term mission and have sufficient patience and tenacity to push through. Lastly, I'd like to finish my speech today by announcing that our Board has declared a cash dividend in the amount of US$0.64 per ADS, which will amount to a total cash payment of approximately US$132 million, or 30% of our adjusted net income attributable to Momo Inc in 2020 -- this is -- Momo Inc in 2020. This is the third consecutive year that we've shared the fruits of our operation with the shareholders. It demonstrates management's confidence in the fundamentals of the company as well as our commitment to creating and delivering shareholder value for the long-term. Thank you for trusting Momo team. These are the things I like to cover on this call. Now here's Wang Yu to talk about Tantan's product and service -- product and business development. Mr. Wang, please.
Wang Yu: Thanks. So let me briefly review Tantan's operational and business developments in the past quarter and our next step plans. First, a quick review of the user trends and related metrics. Total paying users were impacted by the COVID outbreak in early 2020. By May the pandemic in China got under control, and we subsequently saw decent use recovery from May to early August. Since mid August, the user acquisition cost has started to rise dramatically due to the aggressive marketing investments for medication and online gaming companies, and in Q4 joined by eCommerce players as well. For ROI considerations, we scaled back our spending in the paid marketing channels in Q4, which puts some pressure on the user trend. During Q4, our team fully focused on improving the marketing efficiency and lowering the unit acquisition cost. The team conducted a thorough walkthrough of the system to identify potential areas of improvement and optimization. We realized that marketing and top of the funnel conversion is indeed an area where we need to make increased investment -- improvements in order to get more efficient in driving user growth. There's actually a great deal of essential we can cultivate here. In Q4 and January 2021, we quickly put two things in place for Chinese New Year's campaign. Number one, building up the backend infrastructure to enhance our data tracking capability, so that we can provide more effective feedback to our channel partners. Number two, beefing up ad materials to make it more appealing to our target users. We stepped up our marketing efforts when the competition became milder towards mid-February. We were able to see some initial positive results on the cost side. The new ad materials and channel strategy are also bringing in significantly higher percentage of women in the new users. At the same time, the retention ratio in users also improved meaningfully. Overall, we're on track to deliver a better March DAU than last December. More importantly, we should be able to achieve that while further lowering marketing costs from Q4, which was already a step down from Q3. All of this gave us the confidence that this is the right path to go down. From March onwards, we are going to take bigger steps to refine our marketing approaches. I'll give more details later. Now turning to paying users. Paying users for the fourth quarter of Tantan totaled 3.8 million, down from 4.1 million last quarter. The 300,000 net decrease was due to the combination of the full scale rollout of SVIP package as well as the pressure on the users due to the decreased marketing spending in Q4. Now briefly on revenues. Total revenues for the fourth quarter reached RMB740.5 billion, up 100% year-on-year. The growth was driven by the increase in average revenue per user which is contributed by the live streaming service as well as users continuous shift towards higher priced membership services. For fiscal year 2020, total Revenue was RMB2.37 billion, up 88% from last year. Live streaming contributed the vast majority of the incremental revenue, which amounted to RMB999 million. Despite the decrease in number of paying users, VAS revenue still grew 9% on a year-over-year basis driven by the [indiscernible] ARPPU increase. Next, let me give you an update on the progress that we made against our other strategic priorities. First, enriching the product experiences. One of our biggest focus for 2020 was to build supplementary features and services around the core [technical difficulty] experience. So we can offer a richer canvas for users to discover and establish new romantic relationships. In the first half of the year, we introduced a brand new version of Tantan with discovery page and nearby posts and activities, which paved the road for further diversification of our offerings. This is particularly helpful for users who found it less effective to connect in the interact based on the swipe and match mechanism. Providing Tantan users with richer ways to connect beyond our signature swiping experience is an important step that we've taken to enhance user engagements, retention and time spend. Towards the end of last year, we have also begun a limited scale testing on a new voice dating experience, which based on the early data we have been seeing could be positive engagements in revenue driver in the coming few quarters. Another achievement for 2020 was the successful introduction of live video service, which has clearly helped us further optimize monetization value of the platform. This was particularly helpful when our membership business was under COVID related pressure. At the same time, we have also been extremely careful in monitoring and pacing the growth of live streaming service to make sure that we place a complimentary roles in the core dating experience and does no harm to the overall dating ecosystem. So far live streaming has been fitting well into the dating ecosystem without showing any significant undesirable results. In comparison with core mobile live streaming, Tantan's pay -- paying user structure and performance revenue contributions are much more decentralized and long tail driven. Tantan's showrooms are relatively small with fewer concurrent users, but very interactive. The smaller showrooms, you do not have to pay a huge amount in order to get a quality interaction. So the relatively added [ph] distribution structure is very helpful in enhancing the social attributes for the live streaming experience of Tantan. Our intention is to keep our live video channels that way this year. For that reason we're going to continue to control the pace in adding revenue oriented operational reports, especially those that aim at increasing the ARPPU, or otherwise cost centralization. In late Q3, we also started rolling out the new SVIP membership package. New package includes some existing popular membership privileges as well as a number of new premium features added to the package. The goal of introducing the SVIP is of course to offer new valued -- value added services to the dating community. However, we do have a rationale on the business front as well. During the past couple of years, we have consistently observed a key trend that young people in China are demonstrating strong willingness and rising consumption power to pay for dating services. I believe that such trend is going to continue or even accelerate in the coming decade. Long-term wise the best way to take advantage of such secondary trend is certainly to supplement the subscription base model with a good non-sub base value added service mechanism. This is indeed one of our key priorities in the coming few years. But for the time being within the subscription model, we also need a mechanism whereby we can adjust the average selling price, which is by nature more rigid within the sub model. SVIP is our attempted solution here. So far such solution have been working pretty well both in terms of how the user receive it and in terms of hitting the goals we are trying to achieve on a business side. After the rollout of SVIP, we seize to offer some previously accessible features such as separate VAS items. Our general principle in making price efficient is to maximize the revenue. The combination of merchandise replacement and the price strategy led to a de facto priceless effect, which caused the number of subscribers to decline in ARPPU on the contrary to rise. As we expected, Q4 VAS revenue indicates that full scale launch of SVIP is positive to the overall revenue. For the users who churned previous package, but yet subscribed to SVIP, we plan to board them back over time via payroll strategy or new VAS features. Therefore, this approach actually leaves bigger room for us to drive paying user expansion as well as revenue growth in the future. Those are the key updates about the year 2020. Now that we've started the New Year, I'd like to briefly talk about the key things on our agenda for 2021. As Wang Li mentioned, our growth is the top -- of the top priorities for Tantan this year. Two areas that are crucially important for us to achieve the goal -- this goal. First, significantly improve marketing efficiency. The second make the coordinating experience more appealing. On the marketing side, there are a number of things we need to do. Number one, we're going to further optimize our user acquisition system. Although we have made some initial progress in beefing up our channel marketing approach, we still have a lot of work ahead of us. These efforts range from making fundamental changes to the backend infrastructure such as enhancing our data tracking capability and feedback system to improving the ad materials and adjusting them based on the outcome of the campaign. Number two, optimize our use of conversion model, so we can drive better ROI for user acquisition. Number three, enhance our brand awareness. Tantan is a relatively young brand, there are still many people who are not using Tantan because they have not heard of us before. We're yet to be fully aware of the core value of Tantan improvise. We will invest more to empower our brand equity and drive user awareness this year. The second area we need to improve is -- is to enhance the coordinating experience. While Tantan is undoubtedly the most dedicated and effective dating app in China, we do have many opportunities to optimize, so we can do better in connecting the users for romantic purposes. The most near-term priority is to make our swipe and match system more effective. Our efforts include upgrading the use of tagging system to generate better portraits of each of the Tantan users. And based on the tagging and other aspects of big data mining, optimizing the recommendation engine to make more relevant searches. We want the users to genuinely feel that Tantan understands what they're looking for on the platform. While continuing to strengthen our dating related product offering, we're also going to keep exploring more diversified features and services to make Tantan experience better fit for Asian dating culture. This in turn will further improve user engagement and retention which will translate to user growth. Those are the key things that I'd like to cover for today. So let me pass the call over to Mr. Jonathan Zhang for a financial review. Jon, please.
Jonathan Zhang: Thank you. Hello, everyone. Thank you for joining our conference call today. Let me briefly take you through the financial review. Total revenue for the fourth quarter 2020 was RMB3.8 billion, down 19% year-on-year, up 1% quarter-on-quarter, exceeding the high end of our revenue guidance, primarily due to the better-than-expected outcome from the year-end competition event in live streaming business. Non-GAAP net income attributable to Momo was RMB836.4 million compared to RMB1.25 billion for the same period of 2019 or a 33% decrease year-over-year. Total revenue for fiscal year 2020 was RMB15.02 billion compared to RMB17.02 billion for 2019, down 12% year-on-year. Non-GAAP net income attributable to Momo for 2020 was RMB2.9 billion compared to RMB4.49 billion for 2019, a decrease of 36% year-on-year. The year-over-year decrease in top line and bottom line was due to the impact from the pandemic during the first half of the year and the structural reform in the second half in 2020, partially offset by Tantan's rapid growth in revenue and narrowing loss. Looking to the key revenue line items for the quarter. Firstly, on live broadcasting. The total revenue for live broadcasting in business for the fourth quarter of 2020 was RMB4.33 billion, down 31% from the same period last year, and 2% from last quarter. Core Momo's live broadcasting revenue totaled RMB1.92 billion for the fourth quarter, down 43% from the same period last year, and 3% from last quarter, while Tantan's live broadcasting revenue amounted RMB404 million, 2% up from previous quarter. Moving on to VAS revenue. From the -- revenue from the value added services reached RMB1.4 billion, up 18% year-on-year, 5% quarter-over-quarter. Revenue from VAS, excluding RMB336 million from Tantan reached RMB1.07 billion for the fourth quarter of 2020, a 30% increase year-over-year, 7% increase sequentially. The solid performance of Momo's core VAS business was primarily driven by the teams focus on product innovation and effective operational efforts. Audio and video based social entertainment experience continued to generate strong growth momentum, and was the biggest revenue driver for the core Momo VAS services. Now let me briefly review the costs and expenses items for the quarter. Our non-GAAP cost of revenue for the fourth quarter of 2020 was RMB4.02 billion compared to RMB3.32 billion for the same period last year. Non-GAAP cost of revenue as a percentage of total revenue was 53%, an increase from 50% from Q4 2019. Non-GAAP gross profit margin for the quarter was down 3% from a year-ago. The decrease was attributed to the following factors. Number one, high payout ratio from the core Momo's live broadcasting business. Number two, lower gross margin for Tantan, as its live broadcasting services revenue has become increasingly sizable. Number three, higher payout ratio from core Momo VAS business due to the robust growth coming from audio, video based social entertainment business, a big part of which involves third-party professional moderators. And the number four, certain fixed nature of cost items such as headcount, depreciation of fixed assets related impacted the gross margin negatively as the total revenue declined and this items represent a higher percentage of total net revenue. On a sequential basis, the non-GAAP gross margin remained flattish compared to Q3, much better than our original expectation. As Wang Li mentioned earlier, in Q4 we successfully lock down a vast majority of existing high grossing broadcasters by rolling out a new incentive program. We originally had expected this new plan to have a couple of percentage adverse impact on the gross margin. However, the team was able to optimize the overall cost structure so that the gross margin remain the same as in Q3. This demonstrates management's commitment to drive healthy growth of the business not only for the revenue aspect, but also as the gross profit and cash flow level. This year, we will focus at our supporting mid to long tail broadcasters and further strengthening the content ecosystem, a very important step for us to achieve that goal is to provide better motivation and recruit new talents so that we can maintain a good metabolic system. To serve that goal, in q1, we made another adjustment to our incentive program to make it more attractive to the new comers. We currently expect this new program to have a couple percentage impact to our gross margin starting from Q1. In return, we now have a well rounded incentive program that can provide sufficient motivation to all important broadcasters in our ecosystem. Non-GAAP R&D expenses for the quarter was RMB286.5 million compared to RMB244.3 million for the same period last year, representing 7.5% and 5.2% of total revenue, respectively. We ended the quarter with 2,394 total employees of which 807 are from Tantan. The R&D personnel as a percentage of total employees for the group was 57% compared to 58% last year. Non-GAAP sales and marketing expenses for the fourth quarter was RMB654.1 million or 17.2% of total revenue compared to RMB554 million or 14% of total revenue for the same year last year. Non-GAAP G&A expenses was RMB134.5 million for the fourth quarter of 2020 compared to RMB151.7 million for the same quarter last year, representing 3.5% and 3.2% for the total revenue, respectively. Non-GAAP operating expenses as a percentage of total revenue was 28.3%, an increase from 22.4% from Q4 2019. The increase was mainly due to the negative operating leverage as a result of a decrease in total revenue. Now briefly on income tax expenses. In Q4, the company received an approval for qualification of Key Software Enterprise for one of our major profit generating entities to enjoy a 10% preferential income tax rate. For the fiscal year of 2019, which enabled us to lower our tax rate for the entity from 12.5% to 10% for fiscal year 2019. Therefore, we subsequently reversed the over accrued tax liability of RMB113 million to reduce the current quarter income tax expenses. As this qualification application is assessed by the relevant tax authorities annually, we make this tax adjustments upon receipt of our approval notice going forward. Now turning to balance sheet and cash flow items. At December 31, 2020, Momo's cash, cash equivalents, short-term deposits and long-term deposits totaled RMB16.48 billion compared to RMB15.23 billion as of December 31, 2019. Net cash provided by operating activities in the fourth quarter was RMB1.04 billion. Lastly on business outlook. We estimated our first quarter revenue for 2021 to come in the range from RMB3.36 billion to RMB3.46 billion, representing a decrease of 6.5% to 3.7% year-on-year to a decrease of 11.5% to 8.8% quarter-over-quarter. For Q1 2021, on a year-over-year basis, we expected the total revenue from core Momo to decrease in low teens percentage. Total revenue from Tantan is expected to grow in the high 40s percentage. Please be mindful that the forecast represent the company's current and preliminary view on the market and operational conditions which are subject to change. That concluded our prepared portion of today's discussion. With that, let me turn the call back to Cathey to start the Q&A. Cathey, please?
Cathey Peng: Actually just a quick reminder for people who are in the queue to ask the question in Chinese first, and perhaps follow with English translation by yourself. And also if you could limit the number of questions to one to two, that will give more time for other people to ask questions. Operator, ready for questions. Thank you.
Q - Thomas Chong: Thanks management for taking my questions. I have two questions. The first one is about the user and the revenue trend during and after Chinese New Year for core Momo and Tantan. And also, can management comment about the full year outlook, if possible. And my second question is about the spending. Can you comment about the marketing spending for this year as well as the overall margin outlook? Thank you.
Wang Li: Let me translate first. It has been around 5 weeks after the lunar year holiday. During that period of time, it's fair to say that the Momo core has been seeing pretty encouraging recovery trends, both in terms of traffic and in terms of grossing. I would attribute that positive trajectory to three major factors. One is the progress that we made in improving the basic social experience last year on the core. And the second factor is the fruits coming out of the structural reform in the second half of the year. And the third factor is the right approaches that we adopted on the channel marketing side both during and after Chinese New Year for the core Momo. More specifically on the user front, the average DAU so far into March on the core has already exceeded last December's level in a pretty meaningful way. On the grossing front, we did see a pretty mean -- pretty significant decline in both live streaming and VAS during the 3 weeks around Chinese New Year. But up until now, live streaming -- for live streaming, it has already entered into a period of steady improvement and VAS has truly been an outperformer here. Its grossing has far exceeded -- already far exceeded the pre-Chinese New Year level. It looks like that in Q1 we are going to see a pretty meaningful sequential growth from last Q4, and even on a wide basis we're going to see very notable acceleration which is very impressive to me. For the whole year, although now it's still a little bit too early to get very prescriptive, but here are some big trends that I'm ready to share. For live streaming, I think this year will still be -- still about improving the content ecosystem in reaching and diversifying the long tail content. So I would definitely put stabilization as the number one priority. And for that reason, I'm not going to adopt aggressive approaches to stimulate short-term revenue. But as the overall content ecosystem continues to recover, the spending is also going to see steady and gradual improvement on top of Q1. And as I said, we need that steady improvement to happen not just at the revenue level, we needed to happen at a gross profit level as well. For that, on the core, we're actually seeing a greater number, a greater number of growth opportunities relative to live streaming and also from a product and traffic allocation perspective, we are also going to be leaning more towards VAS because it does have a more flattish distribution structure in comparison with -- the VAS does have a more flattish distribution structure in comparison with live streaming. And it is also more tightly knitted into the vantage that we have as a social platform. So my expectation is that this year VAS is also -- VAS is still going to be growing very robustly on a year-over-year basis as a percentage of total revenue, it's also going to continue to rise. At the group level, I think the VAS revenue in Q1 is expected to reach close to 80% of live streaming revenue. In the future, I'm also hoping that we can continue to drive out that ratio from there. That is the fundamental differentiation and advantage that we have as a social platform as opposed to other entertaining providers out there in the market. I think this year you guys are going to see us capitalizing on that advantage and differentiation in a bigger way than we did in the past. Now here's Wang Yu to talk about Tantan.
Wang Yu: Okay. So firstly, let me elaborate a bit on the [indiscernible] trends. In January and early February, we pretty much focused on building our user acquisition materials, and fixing other technical stuff in order to make the Chinese New Year campaigns more effective. So the December week user trends continued in January and early February. They -- usually they started ticking up from late February. As said, we're on track to deliver a better March DAU than last December, while further lowering the total marketing costs from Q4. Revenue wise we had pretty strong seasonality this year due to the streaming services. Because we have the big majority of our live streaming revenue coming from long tail broadcasters are difficult to manage. The broadcasting time and the number of channels saw a very significant decline during the winter period, winter holiday period, [indiscernible] the revenue to see a deep dive and also a slow recovery. Now the supply has come back and we expect the revenue to gradually ramp up from Q2 onwards. Now some thoughts about the whole year. User growth is the single most important priority for Tantan this year. We had some initial success in sorting out the user acquisition approach in the post-Chinese New Year campaign. It definitely shows that we are heading towards the right direction. In the coming few months, we've lined up a few other new product updates, most of which aim at further improving the retention ratio on the platform. We're confident that with these products and marketing efforts, we're going to see solid user growth this year. Revenue is not one of the top priorities for the company this year, neither is profit. We certainly care about top and bottom line, and long-term wise, they should be the outcome of user growth. But if this year, any of the financial goals temporarily goes against the product and user goals, we will definitely put a ladder on top. Here's an example. As I said, after we adjusted our marketing approach, Tantan now has a much higher percentage of females in the newly acquired users, which is going to be a big, big benefit for dating ecosystem. However, that actually lowers the paying in conversion ratio pretty significantly, because women are much less likely to pay the lump. Previously, we would have tried to reverse that chain to raise the paying conversion because we need to meet quarterly numbers in revenue and paying users et cetera. But this year, this is going to be an example that we're going to put the short-term numbers aside and focus on what's really important for our future. That said, I believe overall, we're still going to see pretty decent growth on the top line for 2021. Here are some drivers for it. Firstly, user growth will drive VAS growth. Secondly, we're going to be rolling out a few new monetization features this year. Some of these are sub based and others are other cards [ph]. For example, the virtual gifting around the voice dating experience that sort of drives our people on the VAS. For live streaming this year, we'll make it subservient to the product and [indiscernible]. This year, we also prefer not to go any further in terms of raising monetization levels. Putting everything together, most likely we will end this year with the majority of revenue coming from VAS, which goes more hand in hand with coordinating in relation to live streaming. Thanks.
Jonathan Zhang: Thomas, this is Jon. Let me address your second question. On the marketing strategy for core Momo, actually we are looking to keep the same level of channel investment for the payment -- for the marketing channels, same dollar amount, similar dollar amount for -- from last year. However, as Wang Yu said, this year some of our new apps are getting tractions. And with that we do like to keep the flexibility to invest more to grow the users and revenues for those new initiatives. But, however, we are focusing on the revenue growth on those new apps. So I guess we are probably looking to increase the marketing resources available for those new initiatives. We're looking at probably around 1 to 2 percentage of total revenue for core Momo. So -- but, however, we're only to make adjustments on this level where the spending plan on as we go basis, because a lot of it really depending on the performance of ROI. So that's the moving piece. For Tantan, as Wang Yu just mentioned, Tantan's team is the top priority on user growth. So we're going to spend -- how much they're going to spend? We're going to really -- it will really depend on the pace and magnitude of the improvement of its marketing efficiencies and product rollout. So if we move faster, we will spend more. But however, the VAS revenue will grow up more. And if we need more time, we'll spend less and the VAS revenue will ramp up a bit slower. So, instead of managing the line by line target, we are more focusing on targeting a range of bottom line. At this stage, we are looking at further narrowing down the adjusted net loss for 2021 down by RMB150 million to RMB200 million from last year's level. So, that's on the Tantan side. In terms of margin trends, on top of the additional potentials ending from core Momo, on the gross margin side, as I mentioned during the prepared remarks, due to the newly launched incentive program for new broadcasters, we do expect [technical difficulty] margin impact on the gross profit -- gross margin side. And that's for starting from Q1. You can apply that throughout the year. And, however, there are other factors probably will impact the margin on a quarterly basis such as the revenue mix might have some impact. But, however, we don't expect a [technical difficulty] will be significant. So, overall, the gross margin will see a 2% to 3% downtick for the year and also the potential -- higher selling marketing expenses from core Momo. Thank you.
Thomas Chong: Got it. Thank you.
Cathey Peng: Operator -- yes, operator, we're ready for next and maybe for the interest -- in the interest of time, this will be the last one we take -- we take in.
Operator: Thank you. Yes. Our next question is from the line of Tian Hou of TH Capital. Please go ahead.
Tian Hou: Yes. Good morning, management. Just a question on the VAS. Look at the financial results VAS was growing pretty rapidly and also Mr. Wang expressed enough confidence for 2021. So can Mr. Wang elaborate a little bit further the drivers for VAS continue to grow in 2021? That's my question.
Wang Li: With regards to the future outlook for VAS, we are actually seeing plenty of growth opportunities in VAS both in terms of product innovations as well as revenue growth. As I said, over 80% of the time spend on Momo is in a variety of social experiences that are not related to live streaming at all. There is actually a lot of potential that we can cultivate in this big pool of users and traffic. In addition other than Momo and Tantan, this year some of our newer applications are also becoming more meaningful revenue contributors and that could push the VAS opportunities beyond the core Momo. More specifically, I think in the year 2021, we are mainly looking at several key drivers. Number one is we're going to continue to bring in new product innovations into the chat room experience. Things like the new interactive gifting experience, the new game plays into the karaoke experience, all of these have proven to be effective levers that we can pull to drive continuous growth in the chat room. And the second area of growth is the opportunity -- the revenue opportunities around the new applications and the new paying experiences that we're testing. Things like Hertz and the video matchmaking experience both within our core website which is [indiscernible] and as a separate application, which is [indiscernible]. Other than these we also had a few -- a couple of other [technical difficulty]. These new opportunities are increasingly coming into fruition on the revenue side. And -- so they can be more of a longer term driver for the VAS line. And the third driver this year is going to be the innovations within the older experiences. For example, the interest group is a old experience that has been around for many years [technical difficulty] after have been around since the year 2012. But after the introduction of new gifting experience, it started growing very impressively in the last year making it actually one of the most important drivers for the VAS line. This year we also have plans to continue to introduce new stuff into the one-to-one [ph] chatting and also the group chatting in order to activate people's willingness to pay for VAS. Now about Tantan, content VAS is actually at a very early stage of development in terms of user growth, ARPPU and the overextension of paying experiences. I think, obviously, the biggest, biggest priority for Tantan this year is on user growth instead of pulling other revenue levers. But actually in the coming 3 to 5 years, Tantan should actually have bigger potential -- bigger revenue potential in the form of VAS than Momo has today. I think we're approaching the markets open. So that will be the last question that we take today. And that also wrap up -- wraps up the conference call for today. Thank you for joining us. We'll see you next quarter. Operator, we're ready to close.
Operator: Thank you.
Cathey Peng: Thank you.
Operator: Thank you. Ladies and gentlemen, that concludes today’s [technical difficulty]. Thank you for participating. You may now all disconnect.